Operator: Good day, ladies and gentlemen. And welcome to the Second Quarter 2013 Exelixis Incorporated Earnings Conference Call. My name is Crystal and I will be your coordinator for today. At this time all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of the presentation. (Operator Instructions) I would now like to turn the presentation over to your host for today Mr. Charles Butler, Vice President of Investor Relations. Please proceed.
Charles Butler : Thank you for joining us for the Exelixis’ second quarter 2013 financial results call. Joining me on today’s call are Michael Morrissey, our President and CEO; Frank Karbe, our CFO; Scott Garland, our Chief Commercial Officer; and Gisela Schwab, our Chief Medical Officer, who will together review our corporate, financial and development progress for the quarter-ended June 30, 2013. They also will discuss priority activities for the remainder of the year and provide an update on the COMETRIQ launch and on-going clinical development activities for cabozantinib. As a reminder we’re reporting our financial results on a GAAP basis only. And as usual, the complete press release with our results can be accessed through our website, at exelixis.com. During the course of this presentation we’ll be making forward-looking statements regarding future events or the future performance of the company, including statements about possible future developments regarding clinical, regulatory, commercial, financial and strategic matters. Actual events or results, of course, could differ materially. We refer you to the documents that Exelixis' files from time to time with the Securities and Exchange Commission, and in particular the company’s quarterly report on Form 10-Q filed today, August 6, 2013. These documents contain and identify, under the heading Risk Factors, important factors that could cause actual results to differ materially from those contained in any forward-looking statements, including the risk that unanticipated developments could adversely impact the launch, commercialization, distribution, and availability of COMETRIQ, the degree of market acceptance of and reimbursements for COMETRIQ, risks and uncertainties related to compliance with applicable regulatory requirements, market competition, the availability of data at the reference times, and risks and uncertainties related to the initiation, conduct, and results of clinical trials. With that, I’ll turn the call over to Mike.
Michael Morrissey: All right, thank you Charles and thanks to everyone joining us on the call today. We had a productive second quarter and I will start by giving a brief overview of our priorities before Frank, Scott and Gisela discuss our progress from a financial, commercial and clinical perspective. Our focus for Q2 was to advance our goal of building cabozantinib in to a significant oncology franchise as we move into 2014 and beyond. Consistent with this still we are continuing to execute on our top priorities in the second half of 2013 including first advancing the clinical development program for cabozantinib through the implementation of multiple pivotal trials in commercially important indications and we expect to have five on-going pivotal trials for cabozantinib by year-end. Second, implementing an appropriately sized commercial effort for COMETRIQ in progressive metastatic MTC. And finally third maintaining a position of significant financial strength by focusing the company’s activities and operating expenses solely on cabozantinib. Overall the COMET trials for metastatic CRPC remain our top organizational priority. We’ve made good progress here in Q2 and continue to expect top line data in 2014. So with that I will turn the call over to Frank for a review of our second quarter financials. Frank?
Frank Karbe: Thanks, Mike. As usual I will focus my comments on the highlights of our financial performance in the quarter and refer you to our press release and today’s 10-Q filing for additional details. Net revenue for the quarter was $11.9 million of which $4 million related to the sale of COMETRIQ and $7.8 million related to license and contract revenues. In-line with our expectations our gross to net discount slightly increased this quarter to approximately 5%, primarily as a result of increased sales through program subject to government mandated discounts. I would like to note that our full year guidance for license and contract revenue of 16.3 million remains unchanged which implies that we have now almost fully depleted our remaining deferred revenues for this line item. For the time being we will continue to not provide any revenue guidance associated with sales for COMETRIQ. R&D expenses for the quarter were $49.1 million. The increase of $16.5 million as compared to Q2 last year was predominantly due to a $15.3 million increase in clinical trial expenses which was primarily related to activities for the COMET 1 pivotal trial as well as costs incurred in connection with the start-up of Phase III trial for metastatic RCC, metastatic HCC. $6.3 million of this increase relates to the purchase of Afinitor as the comparator drug for RCC Phase III study. SG&A expenses were $13.2 million for the quarter. The increase of $6.4 million as compared to Q2 last year was largely driven by higher cost for consulting and outside services as well as marketing expenses, which is primarily related to costs associated with our commercial activities. These increases were partially offset by lower rent and utility expenses. Total cost and expenses for the quarter were $63.2 million. We have indicated in previous calls that we expected our expenses to rise and the increase of $22.6 million as compared to the second quarter last year and $19.5 million as compared to first quarter of this year reflects the ramp-up in our clinical trial activity including the purchase of comparator drug as well as the expenses associated with our newly established commercial capabilities. Our 2013 full year guidance for total cost and expenses remains unchanged in the range of $200 million to $230 million including non-cash expenses of approximately $16 million to $18 million which is primarily attributable to stock-based compensation expense. For other income expense we incurred a net expense of $10.9 million for the quarter. The increase of $7.1 million as compared to Q2, 2012 predominantly relates to the interest expense associated with our 4.25% convertible senior subordinated notes due 2019 issued in August of last year. $6.5 million of the interest expense incurred in the second quarter reflects non-cash charges. Let me wrap up by commenting on our cash position. We entered the quarter with approximately $524 million in cash. It is worth noting that despite the increases in expenses from Q1 to Q2 this year our cash burn in the second quarter was substantially lower than in the first quarter mainly due to lower debt payments and changes in working capital. Our guidance for year-end cash also remained unchanged and we continue to expect to end the year with approximately $400 million in cash. With that I will pass the call on to Scott.
Scott Garland: Thank you, Frank. The second quarter was another busy (inaudible) cpmmercial front, and we continue to make solid progress on launch of COMETRIQ in MTC. As Frank mentioned Q2 net product sales for COMETRIQ were $4 million. Consistent with our Q1 earnings call I will not be providing any further breakdown of product sales and will restrict all my comments to the MTC market. In Q2 we continue to see gains in penetration in MTC and saw the level of refill scripts increase as well. In terms of overall market size our assumptions have not changed and we continue to believe that there are between 500 and 700 drug eligible first and second line metastatic MTC patients diagnosed each year in the U.S. On our Q1 call we announced that we’ll be expanding the size of our sales force from 5 to 15 sales representatives. The increase was due to a realization that the MTC market was less concentrated than we previously anticipated. That trend continued in Q2 during which time we observed that over 50% of scripts for COMETRIQ in MTC were written by community physicians. As a result we’ve increased the number of targets our reps call on from 600 to around 1,400. I am pleased to report that we’ve nearly completed the hiring and training of our new sales reps and 14 of the 15 reps are now out in the field calling on customers. I continue to be pleased with the level of talent that we’ve been able to attract. The sales reps have on average over 15 years of sales experience with a significant amount of oncology experience. The sales team continues to be outsourced through a contract sales organization inVentiv. On the payer side our payer mix remains skewed towards commercial payers. We did see an increase in Medicare coverage in the quarter. Payer reaction to COMETRIQ in MTC continues to be positive and coverage policies remain consistent with our label indication and in line with our expectations. I’ll now turn the call over to Gisela.
Gisela Schwab: Thank you, Scott. In the next few minutes I’ll provide an update on the progress of development programs for Cabozantinib. Specifically I will cover the status of the COMET trials, the status of the RCC and HCC Phase 3 studies and activities in non-small cell lung cancer in RET fusion-positive patients. But let me start with a brief update on our activities in MTC, both the clinical and regulatory activities and the medical support for COMETRIQ. The review process of our EU filing is proceeding and the filing was accepted for review in November 2012. We are addressing the EMA's questions and while we are awaiting a final opinion from CHMP we have set up the infrastructure to make COMETRIQ available under a named patient use or NPU program in countries of the EU and in other ex-U.S. regions. This activity is part of our agreement with Swedish Orphan Biovitrum or SOBI. As a reminder an NPU program provides access to drugs unapproved in a given country but approved elsewhere for a single patient or a group of patients in a particular country. So we are now through SOBI making COMETRIQ available under the NPU rules in the EU and other ex-U.S. regions. With those efforts underway the clinical and regulatory effort is intensely focused on expanding the Cabozantinib opportunity. As we’ve discussed previously we have a robust strategy for evaluating the compound in a variety of indications using internal resources to support Phase 3 trials and working in partnership with a wide ray of individual physicians as well as cooperative groups through our collaboration with the National Cancer Institute's cancer therapy evaluation program or CTEP and an Investigator-Sponsored trial program. I will now turn to the update on the ongoing COMET trials which are our two Phase 3 pivotal trials in metastatic castration resistant prostate cancer. As you know COMET 1 a randomized study of cabozantinib versus prednisone is focused on assessment of overall survival. In COMET 2 a randomized study of cabozantinib versus mitoxantrone and prednisone is focused on pain response. We now have activated 250 plus clinical trial sites for COMET 1 and our patient recruitment and enrolment trajectory are in line with our expectations. We continue to expect that top line data from both COMET trials will be available in 2014. If both trials are successful the combined data package would demonstrate a survival benefit and improvement of pain associated with bone metastasis. We believe this would differentiate cabozantinib from other agents used in the treatment of CRPC and support the product activity profile in this indication. As a reminder a detailed analysis of overall survivor in our non-randomized expansion Phase 2 studies in 144 CRPC patients treated with cabozantinib was presented at ASCO in June and demonstrated a 10.8 month median overall survival in this heavily pre-treated patient population. All of these patients have received prior docetaxel and about half of the patients had received prior abiraterone and/or enzalutamide and 25% of patients had also received cabazitaxel. We also observed in a retrospective responder analysis of this data set an association of bone scan response, CTC conversion or pain response was better overall survival compared to non-responders. This data is certainly supportive of our planned analysis of bone scan response in the Phase III COMET studies as an important secondary endpoint and these studies will allow for prospective assessment of correlation of bone scan response and overall survival. In addition to the COMET studies which evaluate cabozantinib in late line of treatment of CRPC patients post-docetaxel and abiraterone or enzalutamide we are also actively working on advancing cabozantinib in the earlier line of treatment of CRPC patients prior to chemotherapy. We are on track with our plan to initiate two earlier line Phase 1/2 studies, one evaluating the combination of cabozantinib with enzalutamide and one evaluating the combination of cabozantinib with abiraterone. These studies will initiate towards the end of 2013 or early 2014. Now regarding the status of cabozantinib in other indications we are working very actively on the initiation and execution of two new Phase 3 pivotal trials in metastatic renal cell cancer and hepatocellular cancer or RCC and HCC respectively. Just as a reminder the Phase III study in RCC was initiated in May 2013 and is now screening patients. It is a 650 patient randomized open label study that is comparing cabozantinib with everolimus in patients who have received and progressed on or following at least one prior VEGFR Tyrosine kinase inhibitor. The primary end point is progression free survival or PFS, and the secondary end point, overall survival. No crossover between treatment arms is allowed. Patient reported outcomes, biomarkers, safety and pharmacokinetics will be evaluated as exploratory endpoints. We have selected study sites and are planning the global execution of this study with [balance] accrual weighted towards Western Europe, North America and Australia. The HCC trial will be initiated shortly. It is a 760 patient study in patients who have received prior sorafenib and will compare overall survival between patients treated with cabozantinib and those receiving placebo. Overall survival is the accepted endpoint in this indication and was the endpoint used to support approval of sorafenib as first-line therapy for HCC. There is a tremendous amount of enthusiasm for these trials in the community based on the early stage data and the design of these Phase 3 trials and we hope that these studies will support the next wave of indications for cabozantinib after metastatic prostate cancer. Additionally we are planning to initiate a single agent Phase 2 study in about 100 non-small cell lung cancer patients carrying the RET fusion genes. This genetic alteration is seen in about 1% to 2% of non-squamous cell non-small cell lung cancer patients and is seen in patients whose tumors are negative for EGFR, KRAS or ALK mutations. Cabozantinib has been shown in preclinical studies to potently inhibit RET with nanomolar IC50 values. And initial clinical data showing activity of cabozantinib in a small group of non-small cell lung cancer patients with RET fusion genes has recently been published. On the basis of this data we are currently planning the initiation of a study in RET fusion gene expressing patients with the primary endpoint of overall response rate. A robust response rate in such a selected patient population could potentially support a decision to request regulatory approval in the United States. So to summarize we have made very good progress on multiple fronts. The COMET trials are actively enrolling. The new Phase 3 study in RCC has been initiated and the HTC study will be initiated shortly. We are working on start-up of the study in non-small cell lung cancer patients with RET fusion genes. And the IST and CTEP programs are advancing well. With that I will turn this back call over to Mike.
Michael Morrissey: Okay. Thank you Gisela. I will keep my closing remarks brief so we can get to your questions. As you heard from the team today progress continues on all fronts which is only possible through the dedication and hard work of our employees. Our focus moving forward is simple, to advance the near term cabozantinib opportunity in metastatic CRPC and expand the opportunities for cabozantinib in other important oncology indications. With this focus we hope to bring new therapies to patients for cancer and build value for our shareholders. So we’ll stop here and be happy to take questions. Operator?
Operator: (Operator Instructions). Our first question comes from the line of Eric Schmidt with Cowen & Company. Please proceed.
Eric Schmidt - Cowen & Company: Well, good afternoon and thanks for taking my questions. First quickly on COMETRIQ in medullary thyroid cancer. Do you have any data on the persistency of dosing or the rate of discontinuations?
Gisela Schwab: Hi, Eric this is Gisela. So we have data collected obviously in the EXAM study and we know that patients on cabozantinib have been on average on drug for about 10 months. And so that data has been presented previously and in terms of discontinuations we saw discontinuations in about 16% of patients and for comparisons in 8% of placebo patients. So in-line with what you would see with other [TKIs].
Eric Schmidt - Cowen & Company: I guess I was asking more about the commercial experience whether you’ve seen some of the persistency of dosing or whether some of the initial scripts have been discontinued already?
Michael Morrissey: Yeah, Scott you want to take that one?
Scott Garland: Yeah hi, thanks, yes. So as you would expect and I would say consistent with the EXAM data we have seen discontinuations in the marketplace. They are generally in line with what you would expect in terms of treatment duration which I think you asked as well. It’s still too early to get a read on treatment duration, because you have to wait for patients to complete therapy before you can get an adequate assessment of that. So obviously we’ll provide updates on that in the future if and when appropriate.
Eric Schmidt - Cowen & Company: Okay. And then maybe moving back to Gisela on the RCC Phase 3 study you provided us with a milestone obviously for when we’re going to get the COMET-1 and COMET-2 data sets can you also give us a projected timeline for data from that RCC trial?
Gisela Schwab: Yeah we are just starting the study up as you know. We have initiated in May and are actively screening patients at this point. It’s a little bit early at this point to project when data will be available so we will update as time goes by.
Eric Schmidt - Cowen & Company: Okay. And last question Mike mentioned five potential pivotal trials up and running by year-end. I assume that included the non-small cell lung cancer RET mutation subset or RET infusion execution subset. So that trial will also start around year-end or Q4 or what’s your thinking there?
Michael Morrissey: Eric, it’s Mike. The five are the ongoing MTC for overall survival, the two COMETs RCC, HCC. So the RET fusion non-small cell lung cancer is not included in that five. Again as we work through the details for that trial and the timing for that trial we will communicate that to investors.
Eric Schmidt - Cowen & Company: Is that something that could start by year-end?
Michael Morrissey: I guess I wouldn’t want to commit to that right now. So stay tuned.
Eric Schmidt - Cowen & Company: Okay. Thank you.
Operator: Our next question comes from the line of Terence Flynn with Goldman Sachs. Please proceed.
Terence Flynn - Goldman Sachs: Hi, thanks for taking my question. I was just wondering with respect to the COMET survival trial if you can tell us anything about the blinded event rate so far and if that’s tracking in-line with your expectations, thanks.
Gisela Schwab: Right. So regarding COMET 1, the overall survival trial I think as I mentioned earlier on the accrual and patient enrolment is in-line with our expectations. We are expecting data in 2014. So the overall survival, full analysis will require a total of 578 events. And so the full analysis we anticipate to be available in 2014. We haven’t updated on the details of events because it changes all the time.
Terence Flynn - Goldman Sachs: Okay. Thank you.
Operator: Our next question comes from the line of Ted Tenthoff with Piper Jaffray. Please proceed.
Edward Tenthoff - Piper Jaffray: Hey thank you. Can you hear me okay?
Michael Morrissey: Yes.
Edward Tenthoff - Piper Jaffray: Excellent. So two quick questions if I may on COMETRIQ, appreciating that we are still early in the launch, but I wanted to get a sense of how you are recognizing revenues and whether this $4 million is representative of patient demand or if there is some stocking of any pharmacies or any inventory stocking in that quarter?
Frank Karbe: Yeah Ted, it’s Frank. So as we indicated on earlier calls we have for the time being recognizing revenue based on the sell-through method which means we recognize revenue when script are filled by the specialty pharmacy. Now there is one exception to that and that relates to sales to ex-U.S. territories and as you know for the time being all sales outside the United States only happen through the NPU program that Gisela mentioned and those sales are very small for the time being. By that I mean the second quarter they constituted well little less than 10% of the quarterly revenue and for Europe we in fact recognize revenue based on the sell-in method meaning at the time when we deliver drug to SOBI and SOBI accepts those deliveries.
Edward Tenthoff - Piper Jaffray: Okay, great. And then looking at expensed, higher expensed drug supply how much of that have you expensed or can you give us a sense of when we might see gross margins go to a more normalized level?
Frank Karbe: Yeah, so it’s a fair question. And as I said also on the last call for the time being our cost of goods sold are not really representative for what we expected to be in the long run. I wouldn’t want to speculate when we expect to be at a normal run rate because that obviously depends on how revenues evolve from here onward and early in the launch. So stay tuned we will update you when we get there.
Edward Tenthoff - Piper Jaffray: Okay. Last question if I may just on the balance sheet and I didn’t see the Q out yet, but can you breakdown what current debt is owed to Deerfield?
Frank Karbe: Yeah so there is one note that we haven’t placed with Deerfield which matures July 2015 and as of the end of the second quarter the maturity out of that note was $95 million.
Edward Tenthoff - Piper Jaffray: Perfect, that’s helpful. Thanks so much.
Frank Karbe: You are welcome.
Operator: Our next question comes from the line of Joel Sendek with Stifel. Please proceed.
Joel Sendek - Stifel Nicolaus: Hi, thanks a lot. I guess one of us has to ask this one. I am sure you are not going answer but I got to try anyway which is, is there any off label sales of COMETRIQ at all? And then I have a follow-up on one of the clinical trials.
Frank Karbe: Yeah, so we won’t be commenting on any sales other than what I have already commented on. So won’t be breaking it down further than that.
Joel Sendek - Stifel Nicolaus: Will you break it down at any point or is this just going to be policy, disclosure policy for the time being?
Michael Morrissey: Yeah, Joe it’s Mike. I would say that this is our approach going forward, as we continue to report revenue we will give a number which we are required to do, but we won’t break it down. We are talking about the MTC opportunity here on the call.
Joel Sendek - Stifel Nicolaus: Got it, okay. All right well I respect that. With regard to the RET fusion expression I am very curious about that. I guess I’ve two questions. First is what Gisela would consider a robust response rate? And the second is we’ve heard from some physicians as we’ve investigated this opportunity that the prevalence is actually higher than that which you cited in that, which is in the literature and I am wondering whether you have any evidence to support a possibly bigger percentage of the patients that have that gene expression? Thank you.
Gisela Schwab: Yeah, to your latter question in terms of the prevalence, the going off of, as you stated, the published literature which quotes 1% to 2% of the non-small lung cancer population of the non-squamous type, so largely adenocarcinoma. And so further data is not really available. I think in terms of the response rate that you have been asking about, I think a robust response rate certainly one could call the cabozantinib response rate it was robust response rate and that’s in the high end.
Joel Sendek - Stifel Nicolaus: Okay. Thank you.
Operator: Our next question comes from the line of Echo He with Maxim Group. Please proceed.
Echo He - Maxim Group : Hi, thank you so much for taking my questions. The first one on COMETRIQ could you just give some data or some suggestions then on with the penetration that like on this drug? And then second would you comment on whether you received any feedback from the doctors, prescribing doctors on the toxicity of…
Michael Morrissey: So regarding penetration we do track although for competitive reasons we won’t be sharing that on this call. What I will say that it’s generally in-line with what we expected in terms of feedback from physicians on tolerability we have conducted market research, feedback we’ve received from physicians is that the tolerability profile is as they would have expected and consistent with other VEGF TKIs in the oncology space.
Echo He - Maxim Group : All right, thank you so much.
Michael Morrissey: Welcome.
Operator: Our next question comes from the line of Cory Kasimov of JPMorgan. Please proceed.
Unidentified Analyst : Hi. This is Britney on for Cory today. I guess quick question on sort of the right sizing of your sales force do you guys feel that the 15 will be appropriate given that you’ve sort of increased the number of target? And then secondly do you have any updated thoughts or new kind of indications that you are looking at for the ISP?
Scott Garland: So this is Scott, I will take the first question. Yes, we believe that the size that we’ve got now 15 is the right size like any good commercialization organization will continue to model that but for now we could best right size for the majority of thyroid cancer market and then I'll let Gisela answer the second question.
Gisela Schwab: Sure, so for us the objective really of our IST program really is multiple fold and that maybe the first priority is (inaudible) across multiple tumor types. And so there are various studies ongoing and different tumor types where we are evaluating cabozantinib for its activity in indication which has not previously been steady and so indications that are already ongoing include further breast cancer studies. They include colorectal cancer studies that are being planned there, bladder cancer studies being talked about there. This study is being talked about so a variety of different indications where there exists may be little bit of data already in the clinic from Phase I or a very robust and/or very robust scientific rationale to going forward. So more studies are planned and a variety already ongoing.
Unidentified Analyst : Great. Thanks for taking the questions.
Operator: Our next question comes from the line of David Miller with Biotech Stock Research. Please proceed.
David Miller - Biotech Stock Research, L.L.C.: Hi, great thanks for taking my question. Do you know if anybody is looking whether it’s cooperative group, so IST is looking at pairing COMETRIQ and Vandetanib head to head?
Gisela Schwab: That is to our knowledge not ongoing, no. I am not aware of that.
David Miller - Biotech Stock Research, L.L.C.: Can you talk about what size the RET trial might be?
Gisela Schwab: Yeah what we are planning is a single agent, single-arm study in about up to 100 patients with the primary endpoint of a low response rate. And that is a study that we hope to we are working towards initiating towards the end of the year or early 2014.
David Miller - Biotech Stock Research, L.L.C.: And then for the RCC and the HCC trials can you talk little bit about what kind of patient stratification you are using in those trials if any?
Gisela Schwab: Right. So we've described previously in prior calls for RCC the stratification factors are the whether patients have received one or more prior VEGFR Tyrosine kinase inhibitors and we are also stratifying the usual risk criteria described by (inaudible) and others previously. And for HCC stratification factors include region of the world. So Asia versus North America versus Europe and also the [ethology] of HCC and that is Hepatitis C or Hepatitis B infection prior infection or other which usually is alcohol related.
David Miller - Biotech Stock Research, L.L.C.: Okay. Thank you very much.
Gisela Schwab: Sure.
Operator: (Operator Instructions). Our next question comes from the line of Ryan Martins with Lazard Capital Markets. Please proceed.
Ryan Martins - Lazard Capital Markets: Hi thanks for taking the questions. First one is for Scott. Scott the new sales reps that were added when exactly did they start promoting and I guess on the breakdown between community versus academic in the last quarter it was evenly split and you said slightly more than 50%. Just wondering if you could maybe provide little more color on that?
Scott Garland: Sure in terms of when the reps were out promoting they officially started promoting out in the field in last July. I don’t have the exact date in front of me but it was late Julys when they hit the street. And I am sorry the second question could you repeat that again?
Ryan Martins - Lazard Capital Markets: The breakdown between community versus academic I think it was 50-50 last quarter I think you said it was slightly more than 50 this quarter, can you provide little more on that?
Scott Garland: Yeah without getting into specifics and whether or not for competitive reasons I can tell you that it's increased over 50% now, it’s not a lot over but it’s definitely been we’ve been seeing more migration in the community setting.
Ryan Martins - Lazard Capital Markets: Okay thanks. And then for Frank I think I saw some deferred revenue of $1.5 million is that all COMETRIQ deferred revenue?
Frank Karbe: Yeah this mainly relates to COMETRIQ deferred revenue, not entire there is a little bit of deferred revenue still left on the licensing contract revenue, if you do the math you will see that we have recognized $7.8 million of licensing contract in each of Q1 and Q2 and I reiterated the full year guidance for that number today to be 16.3 so that’s a small…
Ryan Martins - Lazard Capital Markets: Okay, thanks. And then finally just Gisela on the oral -- data presented at ASCO, when you look at that by dose, 40 versus 100 had that been pretty consistent across doses the different sub groups you've looked at?
Gisela Schwab: Yeah, we haven’t really broken this out by dose but if you get to very small cohorts of patients and in general the overall survival signal was 10.8 months in this heavily treated population patient we view as very encouraging result. But this breakout by dose we have not presented that.
Ryan Martins - Lazard Capital Markets: Okay. Thank you.
Operator: With no further questions I would not like to turn the call back over to Mr. Mike Morrissey.
Michael Morrissey: Okay I want to thank everybody for time and interest. Again the COMET trials for metastatic CRPC remain our top priority for the organization and we have made good progress here in Q2 and expect to have again top line data again in 2014. So with that I thank everybody for their time and interest and we’ll look forward to see you on the road and if not there then certainly on our Q3 call in November. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a good day.